Operator: Thank you all for joining us this morning. Before I turn the call over I need to advise that certain statements made during this call today may contain forward-looking information, and actual results could differ from the conclusions or projections that the forward-looking information, which include, but are not limited to, statements with respect to the estimation of mineral reserves and resources, the timing and amount of estimated future production, cost of production, capital expenditures, future metal prices, and the cost and timing of the development of new projects. For a complete discussion of the risks, uncertainties and factors which may lead to actual financial results and performance being different from the estimates contained in the forward-looking statements, please refer to Yamana’s press release issued yesterday announcing first quarter 2017 results, as well as the Management’s Discussion and Analysis for the same period and other regulatory filings in Canada and the United States. I'd like to remind everyone that this conference call is being recorded and will be available for replay today at 12 o'clock P.M. Eastern Time. Replay information and the presentation slides accompanying this conference call and webcast are available on Yamana’s Web site at yamana.com. I'll now turn the call over to Mr. Peter Marrone, Chairman and CEO.
Peter Marrone: Maloney, thank you very much, and thank you ladies and gentlemen for participating this morning. Let me begin by saying that a considerable effort has done into our Shareholder Meeting later this morning. And our investor Day, it is planned for tomorrow afternoon. These will be webcast, so we encourage participation in those events. More detail will be provided in our prospects, the first quarter of this year, what we expect for the balance of this year and into the years to follow from all of our operations and more holistically in the Company, and those presentations. This morning we intend to provide a quick overview. In light of that Annual Meeting later today and the Investor Day tomorrow. With me here is Daniel Racine, who will provide an update on our operations for the quarter and Jason LeBlanc; who will provide an update on our financial position for the quarter. However, we do have all of our Senior Management here to address any questions that anyone on the call might have. To begin, then let's talk about the approach of the Company. We call that a six pillar approach. We have undertaken an effort to streamline our Company over the past few years, that is not just in our operating portfolio, but also on our management and our management construct. We have improved the quality of managers in this Company, and we’ve improved also the bench strength of that particular management. I am very pleased to say that several nights ago, we announced that we had brought into the management of this Company at a senior management level. Steve Parsons, who most recently was the gold analyst covering our Company and several companies in the sector, our peers from National Bank Financial. I'm sure that you are saddened at the loss in the analyst community, although that loss is our gain and we’re very happy with that. He brings considerable experience that he adds to that management construct to which I referred. In developing our management, we've identified six pillars on which we focus and we see these pillars is the approach, the best realizing potential of this Company and the portfolio that we have in the Company. Let me highlight and expand on several of these. In terms of improvements on our operations, we are focused on improving each and every one of our operations. I’ve said before that not all operations will always perform according to plan, but we will strive to get as many as possible to perform according to plan or exceeding plan, and there will be occasions where everything will perform according to plan. Daniel will take you through some of the details later on this call, but I'd like to highlight that on a consolidated basis we’ve delivered strong first quarter operational results. And to summarize, 215,000 ounces of production that is better than what was in our plans for the first quarter, a $912 all-in sustaining costs, but again where better than what we had in our plans for this first quarter. So production and costs are better than our budget expectations. We increased our gold, our consolidated gold production guidance last night. We’ve guided at the beginning of this year 920,000 ounces of production from our six producing mines, the mines in which we operate and we’ve increased that now to 940,000 ounces. We have significant production and cost improvements that are expected in the second half of the year. This is as a result of sequencing and seasonality. It is very typical. We have a long track record of more production in the second half than production in the first half. On average going back to 2010 of production in the first half is between 44% or -- range at least a 44% to 47% with a balance in the second half of the year. And this year according to our plans, according to our budgets what we anticipate is 46% in the first half of the year and 54% in the second half of the year. In the first quarter we advanced on our development stage projects. Cerro Moro advanced on budget and on schedule. Mechanical completion is advancing to the end of this year and the commencement of production is expected in the second quarter of 2018. We’ve completed more than 90% of the detailed engineering. Two thirds are roughly to 70% of the budget CapEx is committed to spent. The SAG mill is at site and we are advanced and slightly ahead of schedule on the development of the underground effort. With a hard push that began in 2016, we received governmental authorization for our Canadian Malartic extension project which we received just after the quarter end on April 17. And we continue to advance Suruca, which is the gold only deposit that we have just north of our Chapada mine that will supplement the existing production platform for Chapada on the gold side only by another 40,000 ounces per year. As you are aware, we're planning 115,000 ounces of gold this year, 120 million pounds of copper. By 2019 that gold production will increase as a result of Suruca. In Q1, we sought out the improvement to balance sheet and demonstrating financial performance. We continue to maintain strong margins and generate strong cash flow. We will see an improvement over the balance of 2017, but we began in the first quarter of this year with $117 million of cash flow and that will increase quarter-over-quarter, mostly as a result of increasing number of ounces and decreasing costs. And again as I mentioned, we’ve about 54% of the production expected in the second half of the year and the balance between Q1 and Q2. We realized cash proceeds to several monetization initiatives that included a sale of a block of our investment in Brio Gold. We continue to target net debt reduction by year-end. We saw an increase in Q1, but we had anticipated that. It is within our budgets and that will be offset in the quarters to follow. And the financial performance improvements that are expected, that are as planned come from, as I mentioned, the production increases and the cost decreases mostly in the second half of the year, but we will begin to see some of that in the second quarter of this year also. Expect in 2017 strong operational and financial performance, continued evaluation of nonstrategic assets, possibly for monetization and more cash in our treasury. And in Q1 we again showed similar to what we did in 2016 that we will take efforts to improve the balance sheet not just by operational events, but also by monetization of nonstrategic assets. We continue to advance several exploration discoveries that we had advanced through 2016. At Chapada, we have a near surface or focused our near surface high-grade, particularly on gold and several discoveries that we've made over the last year to two years. At Cerro Moro, we start with an extension of the Esmeralda vein structure. At Gualcamayo we’ve three new oxide areas that we’ve discovered and of course deep carbonates that continues to be a prospect for us as a sulfide discovery. At Minera Florida, Las Pataguas represents one of the best discoveries that have been made, at that mine going back at least 10 years. And at Canadian Malartic, we think we’ve a district opportunity between what we see in the pit, the possibility of what is below the pit, Odyssey and more. We expect increases in mineral resources and mineral reserves on a consolidated basis and by operation this year. In Q1, we continued with a development pipeline. Again, an organic pipeline, but also looking at strategic initiatives. We optimize existing operations, a continuation of throughput and recovery optimizations at Chapada, our mining approach in grade and throughput improvements at Jacobina, better dilution control at El Peñón. The integration of two plants at Minera Florida to take on ores from new discoveries. Las Pataguas, as I mentioned, an improvements in grade and recoveries. New oxide discoveries at Gualcamayo and higher throughput and grade at Canadian Malartic. Technical services continues to advance studies with upper beaver as a starting point in our Kirkland Lake Camp, deep carbonates at Gualcamayo, and other opportunities. And we continue to advance exploration programs such as Monument Bay and others that include Atlas, Titan in Chile and Cerro Atajo in Argentina. We look to rationalize -- rationalizing the Company through 2016, and we continue to look at that in 2017. In 2017 and the first quarter, we completed the Brio Gold private placement, but we continue to have more than $225 million of value in our holdings. We continue to review strategic opportunities with respect to what we do with Brio Gold, including possible business combination, business consolidation opportunities. We are advancing the reevaluation of other nonstrategic assets for having a plan to maximize value. And maximize value is the critical evaluation of projects between development and asset sales in other opportunities. So ladies and gentlemen, that is an overview and preview for the first quarter and what we expect for 2017. Let me pass it to Daniel on our actual operations.
Daniel Racine: Thank you, Peter. Good morning, everyone. As Peter mentioned, our production in the first quarter exceeded our plan. We produced over 250,000 ounces of gold from our six mines. In the quarter, we also produced just over 1 million ounces of silver and approximately 26.5 million pounds of copper. With this better than planned production in the first quarter, we increased our full-year book guidance to 940,000 ounces of gold. It is important to note that Yamana has established trends of back loaded production and this year it will be no different. We expect approximately 54% of metals production to come in the second half of this year. So we are very comfortable increasing our goal guidance at this point. In summary, you can expect 400 -- around 435,000 ounces in the first half and 505,000 ounces in the second half. Looking at our cost, we see that the first quarter has positioned us well for the reminder of the year. Across all metric, our cost came in below our plan. Looking at Yamana's six mine, we produced each ounces of gold at a cash cost of $687 and our all-in sustaining cash cost at 912. These are slightly above year guidance range, but with the plant production increase and other operational improvements we expect in 2017. We are confident that cost will be decreasing into those range by year-end. Similarly, when we look at silver and copper, we see cost either already in line with full-year guidance or slightly above and these are expected to improve over 2017 as we increase production and deliver other operational improvements. I'd like now to briefly go through each of our six operations to highlight some important advance, as well as a few of the strategic initiative we are pursuing. At Chapada, we continued to implement initiatives with the objective to improve processing stability and increasing gold and copper recoveries. To that end, in Q1, we completed commissioning of the advanced control system and the cleaning -- cleaner [ph] secret expansion is advancing with plant commissioning in Q4 of this year. Our effort to improve recovery help us offset lower recoveries associated with the ore type process during the quarter. We are expecting to see higher recoveries starting in the second quarter, as our blending ability improves. And we deplete our ore type in the current pushback that has lower recoveries. Chapada is well-positioned to achieve production guidance for both gold and copper. At El Peñón earlier this year we announced a new plan to right size El Peñón, and in the first quarter we exceeded our plan and positioned the operation to meet full-year production targets. This strong performance was despite a temporary suspension of operation associated with a strike of one of the underground union. In fact, production ramp up faster than expected with the successful conclusion of the union negotiation. Strong performance was also due to better than planned throughput and recovery rates. We are continuing to adjust our overhead mining cost structure and exploration spent at El Peñón. The objective is to maximize cash flow from the current production platform. Going forward, we see significant exploration potential at El Peñón both near mine and in the district. And the new production platform allows for more time to discover and develop new resources. At Canadian Malartic, the operation delivered the highest first quarter throughput since the mine began operation. This increase throughput partially offset lower grade and recoveries and has helped position the operation to meet full-year production targets. We are continuing to pursue opportunity to further improve efficiency. After the quarter, the Government of Quebec authorized the Canadian Malartic expansion project. You may know it as the Barnett expansion. This project is advancing according to plan and we are now focusing on getting key certificates of authorization, so that we can commence critical development activity. Additionally this owned [ph] and near pit underground opportunities are under review to evaluate additional sources of ore for the mill. At Gualcamayo, we had a strong quarter operationally and production is on track to achieve 2017 production guidance. We are continuing to advance the recent oxide discoveries that we have made around the main pit, as well as within the district. We are aiming to extend the mine life of the current facilities and see excellent potential as we build on the exploration success of 2016. At Minera Florida, in Q1, we initiated hauling improvement that are now in place and are helping improve the cost structure at the mine. That had some impact on the Q1 production, but will have positive impact for the remaining of 2017. During 2017, we will continue to develop improvement opportunity like advancing the ore leach aimed at significantly improving recoveries and advancing the engineering for the expansion and improvement of the crushing and grinding circuits. We are also advancing exploration of the recently discovered Las Pataguas target, which is supporting the resumption of the development of the Hornitos Tunnel. That tunnel will ultimately connect to the current mine infrastructure and provide a second portal and haulage tunnel. Minera Florida is on track to achieve the 2017 guidance. Finally, Jacobina had a very strong quarter with better than planned production, the result of higher than anticipated throughput, feed grade. First quarter result have positioned the operation well to meet its production target in 2017. Longer-term, we are expecting to implement processing optimization or expansion, while at the same time optimizing the mining sequence to prioritize the higher value of the deposit. Thank you. I will now turn the call over to Jason, to discuss about our financial performance.
Jason LeBlanc: Thank you, Daniel. Turning now to some highlights of our financial performance for the first quarter. We delivered revenue of $403.5 million, which was up slightly compared to last year. Our net loss for the quarter was $5.9 million or a loss of $0.01 per share. Lower earnings year-over-year were impacted by stronger FX, mainly in Brazil and Chile and lower grade and recovery of certain mines. In particular, the recovery at Chapada is expected to increase as the year progresses. I should also note that in Q1 we had almost $8 million of standby costs at El Peñón during the strike that are not representative of our ongoing earnings. And despite the wage negotiations during Q1, El Peñón ended up delivering a strong quarter ahead of our expectations. As you saw from our release, we’ve discontinued the reporting of adjusted earnings. However, we have and will continue to provide a summary of the typical adjusting items that investors may include in arriving at their own view of adjusted earnings. The standby costs at El Peñón I just mentioned are an item that will not be recurring, although they impacted our Q1 financials. Mine operating earnings were just under $60 million for the quarter, down from last year mainly by higher cost of sales in the quarter. Despite this, our cost during Q1 were better than our targets as we just heard from Daniel. Cash based G&A was $18.3 million for the quarter, which is tracking well to our expectation for the year. Expansionary capital was just over $50 million for the quarter, an increase of $40.6 million from last year mainly due to the acceleration of construction at Cerro Moro. Spending on Cerro Moro was $35 million compared with $11 million last year quarter-over-quarter. On the expiration front, we’re tracking well against our plan as our program started the year. We have a budget for the year of $77 million plus an additional $21 million that is unallocated. But we expect it will be directed to the continuation of successful exploration effort as the year progresses. We have some volatility in cash flow during the quarter due to changes in working capital, but this can be typical for our start of the year. We expect the majority of these items to reverse quarter-over-quarter. But I wanted to point out that during the Cerro Moro construction, we will continue to accumulate VAT credits until production begin and then they'll start to be recovered. Aside from the impact of working capital, our operating cash flow was up slightly year-over-year at about $117 million. In line with our increasing production profile during the year, our operating cash flow is expected to grow at a more than commensurate rate as our unit cost will be decreasing at the same time. I also wanted to spend a moment to mention our Brio Gold investment. Sometimes this is a forgotten portion of a portfolio, but it represent significant value in addition to the contributions in the quarter from Yamana's mines. Brio produced about 50,500 ounces during the quarter with Yamana's attributable portion representing just under 42,000 ounces during Q1. Over time the value of our Brio investment will accrue more directly to Yamana as monetization opportunities will be considered. With the market capitalization of approximately $275 million and the Yamana holding just under 80% of Brio, this is a great opportunity to be realized over time, especially as we expect Brio's market value discount in net asset value to decrease. And lastly picking up on something that has been previously mentioned. Yamana has a long track record of second half weighted production within the year as you can see in this graph. 2017 is no different and we are expecting about 54% of production in the second half of the year. This increase in production will also drive lower cost and improving margins and coincide with other operational improvements being pursued. So we are expecting the seasonality to also drive strong financial performance during the year. Furthermore, beyond 2017, we're expecting a step change in operating and free cash flow at Cerro Moro to be contributing to our financial performance in the first half of 2018. With that, I will now turn the call back over to Peter.
Peter Marrone: So ladies and gentlemen, that's our presentation for this morning. And we open the line-up to any questions.
Operator: Thank you. [Operator Instructions] The first question is from David Hudson of CIBC. Please go ahead.
David Hudson: Good morning, Peter and team. Thank you for taking the call. Question perhaps for Daniel. Just looking at Florida, we see that the tile [ph] is going to be discontinued in the second quarter. Just wondering what the throughput could look like for the balance of the year, particularly, post expansion?
Daniel Racine: Yes, we’re -- David, we’re doing some test right now. We put the two mills together. We have extra capacity for sure in the throughput. So this is all we’re going to catch-up, because Florida was a bit lower than expected in Q1 compared to all the other mines were above plan. So we’re going to catch-up, but for this year we won't see a major difference of what we guide. The big difference will come from mostly next year and the year after.
David Hudson: Okay. So from the milling side of things, excluding the tiles …
Daniel Racine: Yes.
David Hudson: … it looks like you’re around about 2,000 tons a day in the first quarter. And wondering if you can push that towards a 3,000 tons a day kind of level, or is that a bit too ambitious?
Daniel Racine: It's a bit too ambitious for now, whereas we have to complete the study, David, this year, but TSR target is to increase the throughput in the -- for sure in the coming years.
David Hudson: Okay. And then …
Daniel Racine: The tile -- to add on the tile, its completely old finish and we’re not processing any tiles anymore. It was completed in Q1.
David Hudson: Okay, got you. So over to Chapada, you’re doing quite a bit of work there to enhance the recoveries. Recoveries in the first quarter was lower than expected below -- for gold this is below 50%. I know that you had mentioned as the ore type and fair enough. But wonder with the change in ore type and also with the additional work that you’re undertaking on-site where you can see those recoveries going to through the course of the year end to next year?
Daniel Racine: Yes, like we mentioned, the first -- in the first quarter we -- and it was the rainy season also, so we’re less flexible during that time and then we followed our mining sequence, and that was on one ore type that it's more difficult to recovered, but without the improvement we have done last year, that recovery would have been lower than that. But for the rest of the year, like we saw it already in Q2, we're back to where we were supposed to be for both gold and copper. And with the clean -- the cleaner circuit that will be put into operation in Q4 this year. These recoveries will increase again compared to where they are right now.
David Hudson: I’m just trying to put a number on that, back to normally set around about the 60% level?
Daniel Racine: Yes.
David Hudson: And moving forward with a benefit of the cleaner, could it be a touch above 60%?
Daniel Racine: Yes, we’re looking around 60% to 63%.
David Hudson: Okay. And on the copper side, would you [multiple speakers] at 80%?
Daniel Racine: Same. Yes, same thing about 2% or 3% more for copper.
David Hudson: Okay.
Daniel Racine: So, 82% to 83%.
David Hudson: All right. Just looking now at Jacobina, throughput is going very nicely there. You’re getting it over 5,000 tons a day and for many years you had struggled to get anyway near that. Is that a sustainable level, plus 5,000 tons a day with over 2 grams of material going through the mill?
Daniel Racine: Yes. Yes, for sure. This is why Jacobina perform very well in Q1 and will do the same for the rest of the year. So you can anticipate above 5,000 tons per day and around the 2.2, 2.3 grams per ton.
Peter Marrone: And Daniel, if I can also add, David on the struggle part. You might remember that we’ve two ball mills there and we had shutdown one of the two mill was to concentrate on development work. And so as we advanced development work, we can now increase the throughput as we’ve more order process through that plant. So it was a deliberate effort on management's part of -- mine management's part to focus on development, so that we can then bring the throughput back up. And now with that effort, Yohann and Daniel are in a better position to bring that throughput out.
David Hudson: Yes, so it had been more mine confined than mill confined and it looks like …
Peter Marrone: Correct.
David Hudson: … the development work is paying off?
Peter Marrone: Yes.
David Hudson: It also seems to me is though some of that lift that you had in the guidance is really pointing at Jacobina, is that a fair assessment?
Peter Marrone: That’s a fair assessment.
David Hudson: Okay. And last question perhaps to Jason. I was quite surprised with the very high interest expense in the quarter. Can you just explain what happened there?
Jason LeBlanc: Yes. I think that’s -- David, probably attributable to a higher proportion of capitalized interest, because of the pick up at Cerro Moro.
David Hudson: But it was higher rather than lower. If you had higher capitalization, it would have been a lower number, wouldn’t it?
Jason LeBlanc: Yes. So, David, in there as well, I guess, it's not just purely the interest expense, but we’ve financing cost as well. So this is the calculation of the revaluation of our foreign-exchange colors that we have on the Brazilian real. Some of that movement went through the financing expense as well. So you remember we have about two thirds of our OpEx hedge this year under [indiscernible] structure for Brazil so.
David Hudson: Okay. Any interest kind of got a whack on that thing?
Jason LeBlanc: Yes.
David Hudson: All right. Thank you very much everyone.
Operator: Thank you. [Operator Instructions] The following question is from Tanya Jakusconek of Scotiabank. Please go ahead.
Tanya Jakusconek: Yes, good morning. Thank you, Daniel for the guidance of the 20,000 ounces. Is that all from Jacobina then for the -- for 2017, the additional 20,000 ounces?
Daniel Racine: No. about half of it is Jacobina and then except Florida we will be right on guidance. All the other mines, it's a bit lower -- bit higher, sorry.
Tanya Jakusconek: Okay. So then the other 10,000 ounces sort of spread across every [multiple speakers]?
Daniel Racine: Yes, spread across, yes, all the other mines.
Tanya Jakusconek: Okay. That’s helpful. Thank you. And maybe Jason just on the working capital adjustment, have you see that progressing through the year or how do we exit 2017 level wise on that working capital adjustment?
Jason LeBlanc: Yes, I think -- I would say in the range of 75% of that would reverse. The balance would be what I had mentioned in my remarks about the Cerro Moro VAT will -- that’s going to build through the construction period. So, yes, 75% is going to reverse pretty evenly quarter-over-quarter, probably a little bit more geared to Q2.
Tanya Jakusconek: Okay. And then the VAT, do you expecting that then in 2018?
Jason LeBlanc: That’s correct.
Tanya Jakusconek: Okay, great. Thank you.
Operator: Thank you. The following question is from Don MacLean of Paradigm. Please go ahead.
Don MacLean: Well good morning, guys. Just a quick question. Daniel, you had mentioned on at El Peñón significant exploration potential. It that sort of a generic statement, or you homing in on some specific new discoveries?
William Wulftange: Don, this is Will Wulftange. Yes, this -- what we’re doing here -- which we’ve explored the various extensions of the structures to the North and South that we're currently focused on exploring around these structures. We're having some mixed results, but generally positive finding other smaller, but mineable, very mineable deposits along these structures. So that’s -- the current focus of our exploration program there for the near mine. For the district mine, we're also looking for new structures to the South of the main mine area, especially Quebrada, Providencia and in that direction where we know the system dips underneath the cover, the service cover. So those are the two main focuses of our exploration program right now.
Don MacLean: Great. Thank you very much.
William Wulftange: All right. Thank you.
Operator: Thank you. The following question is from Dan Rollins of RBC Capital Markets. Please go ahead.
Dan Rollins: Yes. Thanks very much. Just a couple of questions on Canadian Malartic. With the Barnett expansion now approved and that moving forward, how do you see Odyssey coming into the development scenario sort of on a timeline. And more importantly is this -- one-time there is contemplation of doing a ramp or a shaft to get in there. What are you -- what’s the thinking on Odyssey right now?
Daniel Racine: Well, we’re doing the pre-fease study right now on Odyssey. So -- and after that we will have to do a fease study. So, Odyssey is still -- we’re still drilling a lot on Odyssey, and then like Peter mentioned, we’ve other opportunity around Odyssey and below the actual pits. So we have to put all of that together and then find what's the best solution like I mentioned on. Is it the ramp, is it the shaft where -- if it’s the shaft where or is the best place to position the shaft, we're not there yet, but we're continuing the study. Regarding when it can be in production, I think it's too early to comment on that now, but it won't be in the next two, three years for sure.
Dan Rollins: Okay, perfect. And then with respect to Barnett, my understanding is that the rock is definitely softer there and higher grade, and you won't be able to -- I know you want to put a 100% of Barnet in there, just given the back end of the system, but what sort of the feed rate from Barnett, from the main pit you’re expecting and more importantly where do you see the throughput being able to go with the softer rock addition from Barnett?
Daniel Racine: Well, the nameplate of the nearly 65,000 ton per day, so now with the decree ore in the -- we’re in the phase now to have for certificate of authorization to increase throughput and increase production, and then start the deviation of the road and then expand on Barnett. So maximum throughput, even if it's softer ore, we don’t see more than 55,000 ton per day for the full operation. And then, the way it is build right now we’ve two-fold -- we need two-fold summer to build the new road. So it won't start this year, as you can understand we need to get the permit and we will get it this year, sometime later this year and then we need two-fold summer, so '18 and '19 to build it, the road deviation. But during that time, slowly we will start stripping for Barnett on the south side of the road. So focusing ore production in next year and most of '19 will come -- still come from the main pit, then slowly it will go down and then be replaced by Barnett.
Peter Marrone: And Daniel we’re not including any of that in our guidance.
Daniel Racine: No. so that net -- the three years guidance we have right now, there is nothing for that.
Dan Rollins: Okay, perfect.
Daniel Racine: So we will see when we revise next year, early next year what’s the new plan for Canadian Malartic in total, we will have that number, but for now like -- it's like I said the next 2 years, 2.5 years it's basically the road deviation and then getting prepared for Barnett.
Dan Rollins: Okay. And then some of the -- without getting into the [indiscernible] potentially under the pit, what are the regional pit opportunities you're looking at there?
Daniel Racine: We don’t look at any other pits. I would say, its mostly all underground potential. So below the actual Canadian Malartic pit, the Barnett pit, you all know the -- all these Malartic underground operation that's right next to Odyssey, and Odyssey it's an underground mine, so everything will look right now. It's underground potential, no more open pit.
Dan Rollins: Okay, thanks.
Operator: Thank you. The following question is from Tanya Jakusconek of Scotiabank. Please go ahead.
Tanya Jakusconek: Yes, sorry. Jason, forgot to ask you about the Cerro Moro VAT. What is the size of the VAT that we’re looking at?
Jason LeBlanc: Yes, it's a plus or minus $5 million.
Tanya Jakusconek: Okay. So it's just small then in terms of recoup. Okay. Thank you.
Operator: Thank you. There are no further questions registered at this time. I’d like to turn the meeting back over to Mr. Marrone.
Peter Marrone: Ladies and gentlemen, thank you very much. I did want to capture an important point on our guidance. We did increase our guidance last night and I appreciate the questions about how to attribute that increase, to what mine it should be applied. Perhaps if I can give a flavor to something, we think our guidance is modest and fair. We want to point out again that all of our mines, Minera Florida performed to plan, all of our other mines performed above planned. Some performs significantly above plan and clearly Jacobina is an excellent example of that, and we would add to that the performance that we received from Gualcamayo and also from El Peñón with a significant efforts that were undertaken after the strike concluded. We entered into our collective bargaining agreement with the unions and the ramp-up that occurs from that point forward. So, while we’ve given some indication of where the attribution would come for that increasing guidance for mine -- one mine or another. All of our mines were expected to perform certainly at our plans and we expect better than our plans. And so, our hope is that we will continue to perform to the upside. And while you may attribute some of that 20,000 ounces to Jacobina or to some other mine, our expectation is that we will be able to show that all of our mines perform consistent with the first quarter, perform at a better level than what we’re currently showing. So with that, ladies and gentlemen, thank you very much and we look forward to seeing you at our Shareholder Meeting and at our Investor Day tomorrow.
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time. We thank you for your participation.